Operator: Good morning, ladies and gentlemen, and welcome to the Carl Zeiss Meditec Q1 2023/'24 Analyst Call. [Operator Instructions] Let me now turn the floor over to your host, Sebastian Frericks, Head of Investor Relations.
Sebastian Frericks: Good morning, ladies and gentlemen. Thanks for joining us for our analyst call for Q1 '23/'24. My name is Sebastian, I'm the Head of Group Finance and Investor Relations at Carl Zeiss Meditec. And with me, as usual, are our President and CEO, Dr. Markus Weber; and our CFO, Justus Wehmer, who will guide you through our financials and some prepared remarks. They will also share some highlights of our recent business. And afterwards, we look forward to your questions. Now I would like to hand over to Markus.
Markus Weber: Yes. Thank you so much, Sebastian and also a very warm good morning and welcome from my side. This is Markus Weber speaking. Welcome to the Q1 2023/'24 analyst conference of Carl Zeiss Meditec AG. So first, let's have a brief look at our agenda. As usual, we start of an overview of the results, then Justus will take over and will give you more details on the financials. Afterwards, I would like to share some recent business highlights together with Justus with you. And then finally, also as usual, there will be an outlook for the remainder of the fiscal year. And afterwards, we will be open to your questions. So let's get started directly. I'm very happy to report satisfying Q1 results, with modest organic top line growth. We generated EUR 475 million in revenues, a reported growth of 1% and constant currency growth like-for-like, 3.3%. Revenue advancement primarily benefited from a strong microsurgery contribution, accelerated delivery of devices, whereas weaker product due to destocking of reflective consumables in China made on ophthalmology business. This enhanced capacity and improved supply chain over the course of Q1 order backlog was further reduced to a quite healthy level of EUR 350 million, and a big thank you to the entire operations team and supply chain to make it happen. Our strategic investment in innovation as well as sales and marketing remains on a high level. Nevertheless, we have taken measures to slow down the increase in OpEx. Justus will give you more details on the P&L later. As a consequence of relative weaker product mix and less operating leverage from the slowdown of top line growth as well as currency headwinds, mainly from U.S. team, so that means U.S. dollar and RMB, EBIT fell from EUR 60 million the prior year to EUR 43 million by 28%. EBIT margin dropped to 9.2% from 12.8% in the prior year. Adjusted EBIT margin was at 9.7% compared to 13.4% in the prior year. All in all, we are satisfied with the Q1 results in line with our previous communication in December 2023, especially destocking in China sales channel has been well progressing. We are actually quite satisfied with this. Our net income dropped by 27% from EUR 51 million in the prior year to EUR 37 million. Earnings per share was 42%. So now let's go to the financial performance, and I would like to hand over to Justus, who will provide you with more background and we'll discuss the figures in some more depth.
Justus Wehmer: Yes. Thank you, Markus, and good morning, and welcome also from my side. I'm now going to give you a more detailed overview. As Markus just said, on the financials, starting with the performance of the SBU Ophthalmology. Revenue came in for ophthalmology with EUR 351 million a moderate drop of 2% at constant currency revenue remained at a stable level. Growth was mainly driven by our devices business, especially VISUMAX as delivery times have been broadly optimized. Consumables were weaker year-over-year, mainly impacted by destocking of consumables in the Chinese sales channel as we announced in our previous earnings calls. Also due to the onset of a transitionary period of implementation of volume-based procurement, we see a certain and likely temporary slowdown of the IOL business in China during Q1. Both special effects materially held back both top line and EBIT of ophthalmology. At the same time, investment in strategic R&D projects such as digital, surgical, ophthalmology, regulatory affairs and in sales and marketing in refractive further expanded, however, at a much lower pace than in the prior fiscal year. As a consequence, ophthalmology EBIT margin declined 6.9 percentage points from 10.1% to 3.2%, including some foreign exchange headwinds. I'm happy to report destocking of refractive consumables in Chinese sales channel is making good progress as planned. We expect to reach the target inventories in the end of Q2. Deliveries out of Germany will then resume. Consumption levels in China were slightly growing in the past few weeks, given the main winter season due to Chinese New Year is now ramping up. We continuously expanded our installed base of refractive devices during Q1, which further helped sales, leading to good growth figures year-over-year in the market currently. However, we need to keep in mind that last year was a COVID-impacted weaker period, and also the growth is mainly coming from installed base expansion. Our important KPI of utilization per VISUMAX laser continues to signal some softness in the market and continues to run below the record levels of fiscal year '21/'22, roughly the same picture that we have seen since the summer 2023. We expect the profitability in the ophthalmology segment can begin to recover late in Q2 and then during the second half of fiscal year '23/'24. Moving on to MCS. MCS delivered a robust performance with revenue of EUR 124 million versus last year's EUR 112 million. This represents a revenue increase of around 10.6% at constant currency, even 13.7%, a very strong result helped by increased conversion of backlog. Gross margin improved to 61.7% versus 60.3% last year. Price adjustments contributed to the higher margin level also inflation rate came down a lot compared to past year. EBIT margin improved by 4.4 percentage points year-over-year to 25.9% on good operating leverage. The three regions demonstrated heterogeneous pictures in Q1 with the strongest growth in EMEA, while APAC remaining roughly stable and Americas with most [indiscernible]. Americas achieved sales of EUR 112 million, a significant drop of minus 20% in constant currency, still minus 17%. This contraction of top line is partially due to a base effect in a strong previous year period and partially because of comparably weaker support from order backlog and diagnostics business in Q1, among which North Americas, including the U.S., demonstrated a weak quarter. Latin Americas on contrary, grew by double-digit percentages. We expect Americas performance to improve going forward based on VISUMAX 800 approval in January. We will talk about it later in this call. And the expectation that our top-end OCT model, CIRRUS 6000 is likely to be relaunched with new software in the second half of this fiscal year. In EMEA, we noted revenue of EUR 157 million, a remarkable increase as reported of plus 28% in constant currency, plus 31%. Core markets such as France, Italy and Spain noted strong performance due to our much improved delivery performance versus a year ago, in particular for surgical and ophthalmic microscopes and our VISUMAX. The growth was primarily driven, therefore, by device shipments. In Asia Pacific, we achieved revenues of EUR 206 million, which slightly dropped by 1% at constant currency revenues were slightly positive. India Southeast Asia and Australia contributed again robust performance with strong double-digit percentage increase. China, including Hong Kong, developed sideways due to the destocking issues. Japan and South Korea demonstrated an upward slide on moderate growth rates. Now let's have a look at the P&L lines. Gross margin with 53.2%, was 1.5 percentage points below previous year's level due to less favorable product mix with lower recurring revenue. Also foreign exchange headwinds, mainly from RMB and U.S. dollar additionally weighed on it. Strategic investments in R&D sales and marketing further increased, but at a much lower pace. The increase was primarily driven by higher head count and wage inflation. Due to less operating leverage, the OpEx ratio was, however, higher compared to previous year. Consequently, EBIT of EUR 43 million was below previous year's level of EUR 60 million, as already shown and explained by Markus. EBIT margin was 9.2% versus previous year's 12.8%. As I indicated at the year end analyst conference, we are entering the new year with highly restrictive hiring policies and reprioritize our key growth initiatives in sales and marketing and R&D to keep the most important projects at full speed, but slow down the ones with lesser immediate impact on our competitiveness and financial impact. We prepared contingency measures to curb OpEx expansion further should economy condition in our markets require it. Then a quick glance at our adjusted EBIT margin, which was 9.7%, below previous year's level of 13.4%. Some adjustments arise from purchase price allocation-related amortizations on intangible assets in connection with the acquisitions in both periods and the reporting period, it was EUR 2.5 million. Finally, a look at the cash flow statement. Operating cash flow declined to EUR 1 million versus previous year's EUR 18 million. The decline was mainly in connection with lower operating results and higher tax payment. At the same time, inventories remained high to support the diversification of our supply chains. Investing cash flow remained neutral as drawdown of treasury receivables offset CapEx. CapEx, both tangible and intangible amounted to EUR 40 million and were higher than in the past year's period, due mainly to the expansion projects and our consumable production, for example, at our La Rochelle, Berlin and Guangzhou sites. Please note, there has been a slight change of structure in our cash flow statement as already reflected in the annual report, as we are now showing the changes in receivables against the treasury, the cash pool at Carl Zeiss Financial Services as changes in investing cash flow instead of financing cash flow as previously. The drawdown on treasury receivables roughly offset the CapEx in Q1 '23/'24. We will, of course, provide you with the full cash flow statement in the half year report as usual. Net liquidity sales at EUR 817 million and below the level of last fiscal year end. With this, we move on now to the recent highlights. And here, I will start with some comments on our share buyback program, which we recently announced. So today, actually, our share buyback started with a planned amount of EUR 150 million over the course of 1 year as we informed through the ad hoc news on January 29. We want to run a more efficient balance sheet in the future and manage our liquidity more in a site-based direction following the DORC acquisition and financing. Because of the share price correction during last fiscal year, we believe the share buyback can generate good value at these levels. The liquidity floor represents about 1 year's free cash flow, including DORC. This is to take into account the seasonality of free cash flow generation. Of this, approximately EUR 100 million would be disbursed if the dividend remained unchanged. And therefore, EUR 150 million represents the maximum amount for the share buyback. The aim is to prevent cash balances from falling to 0 during the year or from having to use overdrafts and do not incur external bank debt. With the shareholder loan from [ Zeiss ] that leads to a slight net debt position overall with no external bank debt. Repurchased shares can be used for acquisitions for cancellation of liabilities or to reduce our capital permanently. We will make these determinations at some future point depending on share price and market environment. Yes. And with that, I'm handing it over now to Markus for further highlights.
Markus Weber: Yes. Thank you, Justus. And yes, let's go for further highlights, and actually I'm proud to share with you the good news that the VISUMAX 800 with SMILE Pro software was approved by FDA last month in U.S. as probably many of you have noticed through our press release, it's another significant milestone of rolling out our new VISUMAX globally. Entering the U.S. market, this new generation device and already more than 800 -- 8 million eyes have been treated with SMILE worldwide reflects the broad adoption of our technology. . Compared to the old generation, VISUMAX 800 provides quite faster treatment, greater flexibility and the highest automation through software enhancement, not only leaving in hardware decenter second laser system also creates data driven insights to help surgeons manage better treatment paths for patients while supporting greater workflow efficiency and performance. As displayed on this slide, you see a complete corner reflective workflow containing the whole procedure to not just assess and educate, plan, treat and check. Data flow among all devices, automatic corneal alignment during the operation, collection and analysis of patient data are fully enabled by our software. We are still working on the MEL 90 registration FDA, which can perform Excimer laser procedures and especially presbyopia procedures, which will also be enabled with the combined system of VISUMAX and MEL, which will further differentiate our offering beyond SMILE. About a year ago, we presented a clinical study on digital cataract workflow with a sample of 24 patients. The results showed that this digital workflow, time saving and more accuracy in data trends are granted. Meanwhile, we conducted another large study in our corporate hospital chain in Germany with a patient pool of 430 procedures, around half of them were performed with digital cataract workflow, the other half with existing conventional workflow. This study assessed the mean procedure time for preoperative assessments, calculation of IOL power, data transfer to operating devices and IOL alignment for both digital and existing conventional workflows. The traditional cataract workflow resulted in short-term mean preoperative assessment with lesser variability among individual assessments than the existing workflow. Similarly, the meantime required for the subsequent assessment steps such as IOL calculation, data transfer, IOL access marking and alignment were shorter with digital cataract workflow versus existing conventional cataract workflow. Briefly, the overall meantime for preoperative assessment to final surgery was 16 minutes -- 1-6 minutes, the [indiscernible] cataract workflow in 30, 3-0 minutes with existing commercial workflow, resulting in a tremendous time saving of 46%. To sum up, our digital cataract workflow demonstrated greater time savings at each step of the cataract surgery workflow compared to the existing conventional workflow. In addition, digitalization can lead to a more streamlined cataract surgery that is more convenient and cost-effective than the existing conventional practices. So now let's move over briefly to DORC, and the acquisition of DORC. We announced the acquisition of the Dutch Ophthalmic Research Center, in short, DORC on December 15 last year. Since many of you may have missed the call on the -- late Friday night shortly before the Christmas break, I want to take this opportunity to readdress briefly the key strategic rationale of this deal. As you could see on the right, filling the gap in vitrectomy really is the missing link to offer a comprehensive retina workflow. Vitrectomy alone is estimated to make up more than half of the surgical [ procedural ] segment market. Together with our presence in surgical [ cost ] instrument, we can now offer a complete workflow from the pretreatment stage, drawing our strength in diagnostic imaging together with our market-shaping digital solutions into treatment, where we can now add to our scopes a leading vitrectomy device and lots of consumables into the aftercare, but we are working on software to analyze and further optimize the outcomes. Since we acquired a fellow Dutch company Preceyes in 2022, we also have a very [ promising ] technology for developing robotics into a retinal surgery platform. Not only our products are highly complementary, but also geographic setup fits quite well. As you see on the left, DORC has a strong presence in North America and Western Europe, Large markets such as APAC countries are served by distributors, which will be strengthened by our strong infrastructure in APAC. Also the good installed base of DORC's dual system and sales force in the U.S. will be a great access for us to cross-sell our cataract products. So overall, we are looking very forward then to welcoming DORC in our family after closing. So now let's move to the outlook. So our outlook for the fiscal year '23/'24 remains the same as we lastly communicated at annual analyst conference last year. For fiscal year '23/'24 revenue should be at least in line with the underlying market which is expected to be around mid-single-digit percentage range, presumption here is a stable macroeconomic environment excluding currency effects. As mentioned before, the special headwinds relating to China will weigh heavily on our ophthalmology business in the first half of the year. Destocking refractive treatment packs in China will impact revenue and EBIT in the mid double-digit million range -- euro range, leading to a depressed EBIT margin in the half -- the first half year '23/'24. As just mentioned by Justus, we are making quite good progress here and expect to reach target stock over the course of the second quarter. Nationwide volume-based procurement for IOLs in China will impact our business by a bit more than EUR 10 million in EBIT from Q2 throughout the rest of the year. In the second half year, we are expecting a recovery due to the results of our measures to slow down the pace of investments and the recovery in consumables, particularly in refractive with our installed base growing further throughout the year as we work our way through the remaining backlog of VISUMAX systems and upgrade additional systems to VISUMAX 800. Our EBIT should return to a healthy level in the second half year, which from today's point of view, should be in the high teens range and grow again versus the second half year '22/'23. As a result, for the whole year, '23/'24, EBIT is expected to remain around stable versus fiscal year '22/'23. Should the global economic situation, deteriorate further, particularly in China, we have contingency measures in place to slow down expense growth even more. Our midterm margin target of 20% remains unchanged as a result of rising share of product mix and innovation driving profitable growth. Please note that the guidance above doesn't incorporate DORC since time line of deal closing is still uncertain. We expected around a half year mark or slightly later than that and we'll, of course, keep you updated on that time line. With that, we have come to the end of our prepared remarks on the financials. Let me pass it back to the moderator to take your questions. Thank you so much.
Operator: [Operator Instructions] The first question is coming from Oliver Reinberg from Kepler Cheuvreux .
Oliver Reinberg: If I may probably take them one after the other. The first one would be on China. Can you just quantify the decline in China that you have seen in the first quarter? I guess the decline is probably not unexpected given the kind of destocking may have contributed to 15% drag, but just trying to get the color on the kind of underlying development. Can you talk about to what extent you see any kind of a total evidence of China gets more tricky since summer? Obviously, we have seen the kind of economic pressure, share points declines ever gone to failure. Is there any kind of signs that this is impacting incrementally where some clients will need to invest into patients undergoing treatments?
Markus Weber: Okay. First of all, good morning, Oliver. Good to hear you again. And thank you again for the great conference at Kepler. So yes, so concerning their decline, I think Justus will give you directly some more details about it. So overall, I think it's maybe just to give the framework here. So what we see, and I think we discussed this also now several times. So on the one hand, there is the destocking effect, what will be, let's say, finished as we said now in the near-term future. The other thing is, indeed, the economic environment in China. And I think there are two different elements. The one is -- that we have a strong increase in installed base, which is quite positive for our refractive lasers. On the other hand, we see a kind of tension on the utilization. And this is something which goes along with the macroeconomic or let's say, with the economic current situation in China. But overall, we believe that the trend for myopia treatment is unbroken and that there is still a lot of potential for us here. Maybe Justus, you can discuss this with more details.
Justus Wehmer: Yes, I can try to do that, Oliver. I think, first of all, it's still too early to really quantify the, let's say, overall development for the market as such. What I can share with you is we are currently seeing growth year-over-year, which, however, is not a very meaningful statement because we all know that last Q1 was fairly low base to compare with due to the lockdowns at that period. However, in the meantime, we have grown our installed base in China that I can clearly quantify from 700 lasers to roughly 800. And so we see a volume increase driven by the higher installed base. However, we still see a lower utilization per laser on a high single-digit percentage level compared to what we have seen as utilization rates prior to Corona. So from that perspective, we clearly still see a softness in the market and consumer confidence, as we all know, is not yet restored to the level that we would all like to see. So therefore, I would say, yes, we are on track with our destocking. Yes, we are, from that perspective, confident that ending Q2, we should have completed that task. However, the Chinese New Year vacation peak will give us the first indication of the robustness of the market, even in those difficult economic circumstances in China. And these results, we will only know in a couple of weeks from now. And then going forward, we all know that the Chinese government is now trying to put some measures in place to stabilize the economy. It remains to be seen what this will do with the consumer confidence if that would return to more strength and then considering our higher installed base than the second half year certainly has potential. But right now, you still see me cautious.
Oliver Reinberg: Makes perfect sense. And the second question, just on orders. Can you just provide us any kind of color on book-to-bill? And what is the reason the assumption for the order intake growth in the full year?
Justus Wehmer: Yes, absolutely. A fair question. I still say that we are not really satisfied with the order entry. We see while we have record high funnel levels, both in weight and unweighted projects in our funnels, and we -- we have a global overview that we can take from our CRM tools. So that's the good news. However, the conversion is the problem. And that's no surprise to anybody here in the call that the high interest rate is taking its toll on the conversion of these projects into firm orders. And we have seen that with softer than usual order entries for devices in Q1. We more recently see some better performance, but too early to tell whether this is already a trend change. So from that perspective, we are prepared for more uncertainty and need to see what's ultimately going to happen in the market. However, from all what we understand it's not a Meditec problem. So we are not losing deals against competition from all data available to me. We clearly can see that, for example, in the U.S. there is overall a significant reduction in finance deals and that goes across the entire industry. And compared to that, we are pretty much par with anybody else.
Oliver Reinberg: Perfect. And the last question from me. Just on the VISUMAX launch 800, that's obviously a significant one. Can you just provide any color how you think about the potential in terms of how much the installed base could go outside China here? Any kind of first color on EMEA placements and also what kind of demand you see in the U.S. would be helpful. .
Markus Weber: Yes. So yes, indeed, I think now -- as you know, so, Oliver, we have already the registration of VISUMAX in some of the key countries. And there, we are actually having, first of all, a good placement in new accounts, but also in replacement of the old VISUMAX. So for us, it's indeed currently, there are -- I think U.S. is one of the focus countries now where we really want to win also with our activities, as I said already before. So that we really believe that we have done an offering in U.S. well knowing that currently, the economic situation in U.S. is also a little bit under stress, but that we have a good starting point actually to increase significantly our share in the important market of U.S. also to balance then our recurring business in direct comparison to China. So in terms of India, so this is a little bit a different feature because in India, also, we have to go down for a special, let's say, special groups there. But overall, also here, initiatives are actually in place. And we see also that India is doing very well as we already said. So overall, India is a quite promising market for us.
Operator: And the next question is coming from Doyle Graham.
Graham Doyle: Just two for me. Firstly, on the DORC deal, would you be able to give us a sense as to how quickly or even just how you go by switching DORC customers onto your IOLs within the U.S.? And then secondly, on China VBP in the IOL segment, the more we learn, the more it seems that the picture is quite promising for you guys. And it feels like maybe your guidance incorporates quite a conservative or cautious scenario. Do you think that's a fair statement? Are you becoming more bullish on the volume support there? [indiscernible] to learn your thoughts there. .
Markus Weber: Yes. As you know, I think in our nature, we always cautious in that way that we believe that we have to balance market opportunities versus market risks. But maybe to start first with IOLs and DORC. So just -- it's quite important also for us. Everybody is super excited, as you can imagine because there's a lot of synergies, but we believe we can leverage together here, together with DORC and especially the sales team is super keen and excited to make it happen. And also product management R&D. So there's a lot of currently good momentum nevertheless -- so the closing is still pending. So we're still in the process. Everything is progressing very well. So we are quite happy, especially since DORC is really complementary to us in completing our portfolio. So there is actually hardly any overlap in terms of products, so this is really good. And from this point of view, we believe that closing, as Justus said, will happen, I think, in a reasonable time frame. Nevertheless, as you said, Graham, so -- so the bundling or actually activities to put our monofocal IOL and hydrophobic IOL that we see on through the DORC system makes a lot of sense, especially for the retinal treatments. And this is something what we consider. Unfortunately, as I said, this will be a discussion with DORC after closing.
Justus Wehmer: And China -- yes, the second question was on the China and VBP. I want to also here put things into perspective. What is on the positive from our perspective is that we held ground in terms of pricing, it appears better than some of our competition or some of our competitors. However, we clearly see the impact on revenue, the negative impact this year from the price reduction in the neighborhood of 20% to 30%. And that will -- as we have expected, hit our sales volume in terms of price this year. And obviously, also the margin -- and as we said and guided, we are expecting still high single digit, close to probably EUR 10 million EBIT hit from the first leg, meaning the first year of this 2-year tender. It is true, though, that we feel that with our price comparably higher than some of our competitors. We are probably in a better negotiation position with the private market that obviously is not part of the tender, and that may provide some upside potential for us in terms of our negotiation on the one hand side. And clearly, we also believe that on average, lower prices in the premium sector, may also trigger higher volumes in the private sector. But that is nothing where I would expect that this has a short-term impact for this year rather something to be seen as an upside potentially for next year.
Operator: And the next question is coming from Sam England from Berenberg.
Samuel England: The first one is just a follow-up on destocking. I was just wondering if you're still expecting a lower impact overall from destocking on EBIT in Q2 versus Q1 supporting a sequential margin recovery. You mentioned in the release a gradual margin recovery, so just trying to get a sense of how much improvement we might see in Q2 given the stronger performance than expected in Q1. And then secondly, can you just talk about the slower performance in the U.S. market and how much of that is just down to comp effect given the strong Q1 last year versus other sort of dynamics in the sales line?
Markus Weber: Okay. So maybe I'll take the second question first, and then Justus will talk about destocking. So as you said, Sam, first of all, so I think the U.S. market was actually really unexpected strong during Corona times. The main factors here has been, on the one hand, short -- the long delivery times. And with this, people really felt under pressure to pull in orders, but also overall, still the low interest rates and then also the upcoming inflation. And this is -- this is something which triggered high orders especially during Corona time, which were actually so high on that way that actually our delivery times went tremendously up. So this has been now balanced again. And I think what we see currently is still -- and I mentioned that several times already that we still see these shock waves from Corona coming in. So that means really that the market is still in a kind of balancing phase actually to come back to normal growth rates. And this is exactly what you see now in U.S. because now with the high interest rates -- on a higher interest rates and also inflation still on a higher level, that's called [ depressing ] especially private equity and the big hospitals. Actually, this is currently pressing their investment behavior. We believe because as Justus said, we see in the sales funnel actually, sales funnel is richer than ever, but the conversion is another topic. So that means the interest that our customer side is there and which is quite positive, and it's really a qualified actually sales requests. On the other hand, we see that people are so -- are actually uncertain what happens now with the interest rate and what happens, especially now also with the upcoming election, and this is something what we believe will be released at least in parts because the election will come in November, but will be released in parts over the second half year. And that's the reason that we are -- I think we are -- with attention, but actually, we are looking actually forward to the second half of this year, where we believe that especially the interest -- the conversion rate will be improved in this regard. Yes, I think second part.
Justus Wehmer: Yes. On the destocking outlook for Q2, I think that was the question. Once again, to remind everybody, yes, we are on track, but the completion of the destocking ultimately depends on the volume in the winter peak that we have right now with the Chinese New Year vacation in China, and that we will only know in a couple of weeks from now, how strong that consumption has been. And obviously, our hope would be that the consumption will be such that by the end of this Q2 we have completed that destocking process. So -- and that means depending on the strength of that peak we would expect that margins for Q2 will be in the high single digits. If the peak was stronger, and therefore, faster than expected, new deliveries will be necessary, then we may even reach the teens. But right now, I would say, expected to be fairly close to the margin profile of this first quarter.
Operator: And the next question is coming from Falko Friedrichs from Deutsche Bank.
Falko Friedrichs: I have three questions as well, please. Firstly, going back to the U.S. And my question is, can you speak a bit about your visibility there? I mean interest rates are still high, probably for a bit longer. The election is only in November. So what really gives you confidence there that the second half should see an improvement? And also in the U.S., how are the utilization rates on your laser business at the moment? Then second point on China and your point on the tension on utilization. Can you tell us if this got worse in the first quarter? Or did it just stay on the weak level that you've seen over the summer months. And then thirdly, on the EMEA region. Obviously, strong results there. Outside of the release of your equipment order backlog there, how would you characterize growth in the region and especially on the procedure growth side?
Markus Weber: So -- and I will take the first question concerning U.S. And the second one, I think, maybe Justus you can take, then the third one. So in terms of U.S., well, -- so first of all, yes, we see indeed what I said, Falko, in terms of the -- our sales funnel, we see strong interest in our products. And -- but be aware of U.S. for us currently is mainly still a kind of device business. So even our installed base of lasers in the U.S. is currently not at a high level as you know. And for instance, where we have -- where we have the market share in China, a totally different feature here. So U.S. is still a kind of LASIK, let's say, country -- and what we are now doing is especially now with our femtosecond and I think that's the good news now with our VISUMAX 800 we will combine, on the one hand, be the superior flap cutting performance with the SMILE and then also in combination with SMILE [indiscernible] So I think actually, this fully fits in our strategy. So currently, there are still some approvals in terms of the FDA ongoing. But overall, we are on a very good track, and we have now got one of the most important and biggest milestone with SMILE Pro. We got it done now. So that means for us, and that goes a little bit hand-in-hand also now with the investment schemes of these private equities, of these hospitals and in offices. And so what we will do now is actually we will start now also with financing models, we will go to the market and actually will try actually to win significant market share in the U.S. market. So this is an ongoing project more to come, but this is, first of all, where we believe this will be an advantage for us.
Justus Wehmer: Now in China, the utilization, I mean, that I can cut short, no, it is basically on the level that we have observed in late half of the last fiscal year. So that's the short answer to it. And then you had, I think, a question on EMEA and the -- if I understood you correctly, you were mainly interested to understand the growth in procedures. I think overall, the good growth in EMEA in Q1. As I said in my notes, was primarily driven by devices, also procedures, but mainly devices and they are surgical and Optomic microscopes as well as VISUMAX. So I think what we clearly see is that since Corona, there is an upward trend in laser vision correction demands across Europe. And therefore, with us being able to now deliver higher volumes of VISUMAX, we could work on reducing some of the backlog that we had and the installed base in Europe for the reflected lasers is growing, which is good news and will certainly drive then consumables in the time to come. But always be careful in Europe, we do not typically see utilization rates anywhere close to what we see in Asia. Now so therefore, I don't expect it to have dramatic upwards impact on our consumable business rate.
Markus Weber: Yes. And then maybe, Falko, to sum up all of your three questions. So overall, in our strategy and implementation of the strategy, we are on a good way. As Graham already asked and mentioned we see talk, especially in the Western and U.S. market is a big lever for us also to get a good installed base and to bundle that with our consumables like you see here in U.S. But we know also with the cataract workflow, what I presented to you the digital cataract workflow. There is also for us, together with Veracity, a great opportunity in U.S. together with CT LUCIA, and that has been also pushing and will push in the future, our consumable business in U.S. especially. So overall, we see now currently a lot of good, let's say, anchor stones where we can really start to increase significantly our presence in there.
Operator: And the next question is coming from Dylan van Haaften from Stifel.
Dylan van Haaften: Just two also China, I'm sorry to say. So this one on the VBP side. In terms of volumes, I think we have a good understanding on the pricing side right now, but specifically one peer has sort of put on to their deck that they "one VBP volumes". And I just want to understand what that means in terms of how you guys sort of envisage market share is going to shift over this sort of 1- to 2-year period? If you could tie that to explicit volumes and what that means for the tenders you've seen? That would be very helpful. And the second question would be, if we look at how much second quarter fiscal year typically is in terms of IOL volumes for the full year in China, how are you kind of seeing that year-over-year and our owner partner [indiscernible] let's say, this year relative to last year's?
Markus Weber: I hope I understood you, otherwise, yes, understood your questions all correctly. Market share shifts in China, I think I will not comment on what any other competitor claim to have one or not one or so that is not our business to interpret that for them. Honestly, I'll just repeat what we said before. We are pretty satisfied with the outcome to the extent that we think we have in the segment that is most important to us, which is premium. We have held the ground, so to speak. With that, we feel that we have now the capability to negotiate pricing in the non-volume-based affected market sector. And we believe at least that probably 60% of that market volume in the premium sector is out of the nationwide tender. And there, I mean, we can now basically hope on these 2 effects that there is overall and awareness that you may get now premium treatment at somewhat lower price. However, we, with the size of the premium brand, can make attractive offers, but still maintain a decent margin for us, also well being aware that some of the margin cuts that we are suffering from this tender, we obviously can compensate, first of all, by cutting our distributors and secondly, by the fact that we have a factory in China, that is still ramping up. You heard me talking about our ongoing investments into that factory and then having a product made in China for that market can obviously be quite strategically quite instrumental benefit. So that is why I'd say overall, we feel after we have basically consumed the negatives of the short-term impact in terms of hit on the price and therefore, hit on revenue in this year and on margin, that we -- then however overall can act from a position of strength to develop our markets and potentially grow it from there. What others do with their market positioning and their tender outcome is not for me to comment.  And the second part of your question, I think, was generally on IOL volumes, but maybe you can remind us what exactly the question was here.
Dylan van Haaften: It's just about -- so in terms of the IOL -- sorry, no, it's not about the IOL, it's about sort of the refractive laser destocking. I'm just trying to understand if the order patterns into Chinese New Year follow a normal trajectory, let's say, if we compare it to last year or maybe even before then? Is this sort of a normal like pattern year?
Markus Weber: So it's -- so first of all, the Chinese New Year is this year a little bit late, as you know, in the year. And secondly, it's really hard for us now to comment current numbers. But overall, we are in the forecasting and outlook as we said, we are, I think, I would call it cautiously optimistic in this way that on the level where we are, that actually that is stabilized and that it might even be then a little bit more positive for end of the next half year.
Operator: And the next question is coming from Anchal Verma from JPMorgan.
Anchal Verma: I have three please, I'll one by one if it's easier. Firstly, on the margin trajectory -- firstly, on the margin trajectory over the coming quarters. Can you just talk through it? You've mentioned that Q1 to Q2, there shouldn't be much of a sequential improvement. So that just implies that it's a higher H2 weighted recovery. Can you just talk about your confidence in what's going to drive that and how achievable that is?
Justus Wehmer: Okay, sure. I can do that. Yes. I mean, you have summarized it well. And our historic patterns actually always indicate that we have the strongest revenue and typically also margin performance in Q3 and Q4. And again, it's mainly a function of China given that the installed base has grown. And given that, as you know, the summer peak in China is ultimately always a very decisive factor for our overall margin performance and especially the dynamics of potential overperformance or out performance versus our expectation. And so that is basically the -- one of the key components other than that with the product launches that we were just talking about. We clearly would expect some positive impact both from VISUMAX as well as not to forget the CIRRUS 6000, our high-end OCT device will receive its FDA approval, reapproval, I must say, most likely around April, so early in Q2. And -- so these are a couple of things worth mentioning. On top of it, we have not discussed MCS at all. MCS has launched its PENTERO, which was very well received in the market. So that can also in the second half of the year drive healthy margin growth in our business. So therefore, as we say, the development overall with the second half of the year, returning to normal with some, let's say, positive spin from the various products and launches that I mentioned can clearly provide enough room to then have the overall margin recuperation that will then end up to the guidance that we are giving now. So from that perspective, I remain at this point in time confident. But again, it all depends on overall global climate and recovery in China, and that remains an uncertainty, that we need to keep on our mind. We -- as we said, we are acting on our cost discipline. And we clearly, if need be, we can probably also drive a couple of more measures for containment. But obviously, detrimental global economic developments will hardly be compensatable by any other cost means. So therefore, I think no reason right now to be overly enthusiastic. I think we are on a good track and work our ways back to normality.
Anchal Verma: Perfect. And then the second one is on China. On the refractive side, have you seen any pricing pressure or any changes to the mix or in terms of LASIK versus SMILE?
Markus Weber: So it's hard to comment, to be honest, Normally, we are not talking about actually other procedures in this way. Overall, I think we have a very good positioning here. And also in terms of the value, what we provide to our customer and to the patient is quite good, and it's clear that we can also realize the reasonable price about it. So overall, also to make that clear, the SMILE procedure is the leading procedure in China. And we are actually -- and also, it's good to see that our markets and our customers and the patients, especially are very convinced about the superior procedure.
Anchal Verma: Perfect. And then just lastly, coming back to the orders, Justus. Are you able to provide the order growth number for Q1? Or just confirm if it was positive or if it's still negative?
Justus Wehmer: I think as we commented, we said it was a rather soft Q1 in terms of order income. I think that most likely answers your question.
Operator: And the next question is coming from Oliver Metzger.
Oliver Metzger: Oliver Metzger from ODDO BHF. Most questions have been already asked, but still we are there. One follow-up on the consumables. There's a phasing effect you mentioned Q1 versus Q2. Can you quantify, so how much of expected destocking is already done as percentage? The second one is on the VISUMAX 800. How to think about the launch? So obviously, there's a better technology. So does the [ spare ] technology allows you to [ tell you ] at a higher price? Or do you use the technology -- their technology really to open up the market and put action like in the U.S.? And the third one is about the settlement with Topcon. I'm sure you won't disclose exact details, but can you give us an indication of how significant this is for you? That's from my side.
Markus Weber: Okay. So maybe starting with the second question, with VISUMAX and then I take the third one, and Justus maybe -- so Oliver, so concerning the VISUMAX actually, it's both. On the one hand, yes, we get this also with the new procedure SMILE Pro and the versatility of VISUMAX. I think we have a good price realization here. So that's for sure, on the one hand. On the other hand, we also -- and this is also something where we are quite happy with our operations team, so we actually have -- and I think mentioned this already also in some of the former calls, we have significantly increased the capacity now for our refractive lasers and have now a very stable supply chain, not only in consumables. This was from the beginning, but especially in the devices. And this gives us now really the opportunity to be aggressive in penetrating new market opportunities. And as I mentioned before, also this maybe advanced financing models to make sure that we can position our devices in the best way, also in markets which are currently still traditional markets. And when I talk about traditional then I'm talking of [ PRKA ] -- or PRK and also LASIK. So that's maybe for the first question. And the third question, concerning Topcon. So Topcon -- sorry, second question. Third question concerning Topcon. Well, I think it's said in that way, since the litigation was now over a longer period of time for us, it's just also a very important and clear, let's say, signal into the market and also in market contributors, I would call it, so that we are very well-positioned as a technology leader in market share and that we are not allowing others to take our intellectual property. And this -- we will sue that and that we will go after. Overall, I think you have seen it in the press release, that this was quite significant for Topcon. And this is actually definitely something where I would always say which just shows that as the premium brand and technology leader, has a lot of, let's say, values where others are very keen of to get it. Having this said, in terms of what does it mean for the market, honestly, without commenting that, what does this mean for Topcon. But for us, it's just clear and again, a clear statement in the market that we are the leading company when it comes to not only by diagnostics, but especially when it comes to technology and everything around ophthalmology. Hopefully is answering your question here. .
Justus Wehmer: I can take over and just one sentence here because you were asking about the financial significance. Yes, it is potentially significant for Topcon. It's not so significant for us. We will -- whenever the settlement is then being received we will probably also see that there are some [ counter ] effects associated with the DORC acquisition so that I think nobody has to change this other model due to that settlement with Topcon. On the consumables, quite frankly, no, we are not quantifying here to what level the risk taking has now been conducted. As we said, we are on track, and I think we have made numerous comments now on the call on where we are and what it depends on to complete the destocking. And I think that should be clarified.
Oliver Metzger: Okay. One very quick follow-up. So is it just fair to assume that below 50% are only adjusted right now, just given the phasing or which is...
Justus Wehmer: I think I have just -- I have just made my answer, Oliver. We can try 5x more. I think we wait our comments with that.
Operator: And the next question is coming from Susannah Ludwig from Bernstein.
Susannah Ludwig: I have three, please. First, on the DORC deal, can you talk about by what magnitude the deal will increase your sales force footprint in the U.S.? Then second, on China, could you just remind us of the time line of VBP implementation to give us a better sense of the saving of that $10 million EBIT hit over the course of the year? And then lastly, on Microsurgery, can you confirm whether the backlog is now normalized or whether you would expect to see further support from the backlog in the coming quarters?
Justus Wehmer: I can get going and then Markus just adds in. So let's start with MCS. There is still a backlog of which we believe that this will be most likely consumed somewhere at the end of Q2. I think that answers your question number three. . The VBP implementation in China, as Markus said, it seems there is some -- for the administration of this. There are some delays. What we hear most recently from our Chinese organization is that it may now take another 2, 3 months until the whole [ MVBP ] is really put into full implementation. So therefore, were asking about when should we expect impact? And my answer would be expect it in Q3 and Q4 with an most likely somewhat even split for not having better data right now. And I think the first one was on the DORC sales force, maybe Markus...
Markus Weber: I think what people do is so, as you know, we have also a strong sales force in U.S., but in different fields. And definitely, we will actually leverage the synergies between the DORC sales force and us. And I think that will be quite synergetic.
Susannah Ludwig: Are you able to just -- sorry in terms of the magnitude, like the size of their sales force versus the size of your sales force, how much you're going to be increasing through the deal?
Markus Weber: So we are normally not giving any quantified number in that. Sorry for that, Sara.
Operator: At the moment, there seems to be no further questions. [Operator Instructions] So there are no further questions.
Markus Weber: Good. And thank you so much for your attention. And with this, we're closing the call and looking way forward then to have the conversation again then in the next quarter. Thank you.
Operator: Thank you for your participation. You may now disconnect.